Operator: Welcome to the Anheuser-Busch InBev Second Quarter 2017 Earnings Conference Call and webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Felipe Dutra, Chief Finance and Technology Officer. To access the slides accompany today's call, please visit AB InBev's website now at www.ab-inbev.com and click on the Investors tab. Today's webcast will be available for on-demand playback later today. [Operator Instructions]. Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on the management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that the company's actual results and financial condition may differ, possibly materially, from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect the firm's future results, see Risk Factors in the company's latest Annual Report on Form 20-F filed with the Securities and Exchange Commission on the 22nd of March 2017. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. Please refer to the reference base press release dated January 6, 2017, available on the company's website for important information about the company's updated 2015 and 2016 segment reporting. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Alves de Brito: Thank you, Maria and good morning, good afternoon, everyone and welcome to our 2017 second quarter results conference call. The second quarter saw a great performance in many of our markets, especially in South Africa, Western Europe, China and Argentina. Our three global brands, Budweiser, Stella Artois and Corona, continue to perform very well with combined revenues growing by almost 9%. Additionally, our integration with SAB continues as planned with good synergy capture coming from all of our new markets. Let's now take a look at the second quarter results in more detail. Total revenue in the quarter grew by 5%, with revenue per hectoliter growing by 3.6% on a constant geographic basis driven by revenue management initiatives and continued premiumization efforts. Total volumes were up 1%, with our own beer volumes up 2.1% and nonbeer volumes down 5.7%. EBITDA grew by 11.8% with margin expansion of 238 basis points. This quarter's performance was driven by the strong top line result and the realization of synergies offsetting an anticipated weak performance in Brazil, where EBITDA was down 15.4%. This is due to the impact of the significant cost of sales per hectoliter increase as expected. Excluding Brazil, our business delivered even better results, with revenue up 6.2% and EBITDA growing by 16.5%. Normalized earnings per share decreased by $0.11 to $0.95 in the quarter. Normalized earnings per share increased from $1.57 in the first half of '16 to $1.69 in the first half of '17. Now turning to our Global Brands which delivered another strong result this quarter, with revenues up by almost 9%. Budweiser continued to perform very well, supported by a strong performance in China as well as good growth in Brazil and the U.K. We also executed our global Tomorrowland campaign in 9 countries, leveraging our global scale. Stella Artois grew revenues be 6.6%, with good volume-led performance coming from Argentina, South Korea, Canada and Australia. We also launched our full scale of hosting campaign in North America with exceptional -- with experiential and trade platform. Corona continued its impressive track record of growth, with revenues up by over 16% and by more than 25% outside of Mexico, driven by China, U.K., Australia and Colombia. We also launched the Better World campaign partnership with barley, setting the goal of protecting 100 islands from ocean plastic pollution by 2020. We believe in the ability of our 3 global brands to continue their strong growth by leveraging their global commercial assets with consistent communication and execution around the world, while increasing their scale and further distribution especially in our new market. Let's now have a closer look at the results of each of our regions. Our revenue in North America was flat in the second quarter as the 1% improvement in revenue per hectoliter was offset by a volume decline of 1%. EBITDA grew by 3.2% with margin expansion of 129 bps to 41.6%. In the U.S., we estimated industry sales to retailers or STRs, declined by 0.7% in the second quarter and by 1.1% in the first half in line with last year's trends. Our own STRs were down 3%, resulting in market share loss of approximately 105 bps in the quarter and 85 bps in the first half, based on our estimates as we cycled a strong comparable versus the second quarter of 2016. Our revenue in the U.S. declined by 0.2% with revenue per hectoliter growth of 0.9%, negatively impacted by brand shipment mix. In the first half of 2017, our revenue per hectoliter increased by 1.5%. Despite the soft top line results, EBITDA improved by 3.9% with margin expansion of 168 bps to 42.2% as a result of disciplined cost management. We also saw improvement in our gross margin which was up by 45 bps to 62.2%, leading to more than 7 consecutive years of margin expansion. While this was a challenging quarter for the U.S., we saw continued growth from the Above Premium segment. Michelob Ultra maintains its impressive growth trajectory with 9 straight quarters as the #1 share gainer in the U.S. This quarter also marked the highest quarterly share gain in the past 5 years, affirming our belief that further acceleration is possible through increased awareness and penetration. Stella Artois also continued to gain share in the U.S. as the fastest-growing European imported beer, according to IRI. Our original craft portfolio continued to grow ahead of the slowing craft segment, led by our local and regional craft brands. However, our U.S. premium lagers remain under pressure, driven primarily by Bud Light and Budweiser. Bud Light lost approximately 9 bps of share, while STRs declined by mid-single digits. While we're surely not satisfied with this result, we did see bright spots for Bud Light, such as our music influencer program, Dive Bar Tour which led the category's digital conversation in June. Additionally, we have developed local programs for key Hispanic markets and initial performance is showing positive results. In the second half of the year, we look forward to new creative content as we bring the France platform to life for drinkers of America's most popular light lager. Budweiser's share declined by approximately 40 bps with STRs down by mid-single digits. This quarter we saw the return of the successful Budweiser America campaign, giving back to those who protect the ability to pursue the American dream. The content continues to drive improvement in brand equity measures. We will evolve the campaign this year, building out unique state packaging in the locations of our 12 brewers, further reinforcing Budweiser's status as an American icon. In summary, we're not pleased with our U.S. market share performance and we'll continue to work to balance the share and profitability equation, while fine-tuning our regional pack-price strategy and leveraging our strong wholesaler system. Moving now to Latin America West. Latin America West revenue grew by 8.5%, with revenue per hectoliter increasing by 5.2%. Volumes were up 3.1% with good performances in Mexico, Peru and Ecuador. Our EBITDA increased by 16.4% with margin expansion of 319 bps to 47.2% with strong top line growth supported by synergies captured. Mexico recorded a solid performance this quarter, with revenue growing by low double digits and volumes up mid-single digits, helped in part by the timing of Easter. Our EBITDA increased by 4.6% with margin contraction of 242 bps to 43.2%. Top line growth was partially offset by the combined impacts of currency devaluation on our cost of sales as well as an energy price increase at the beginning of the year. Our big brands in Mexico all performed well this quarter, resulting in the strong top line result. Bud Light outperformed through its success with sports and music activations with volumes up double digits and expansion continuing beyond the North region of the country. Corona's brand health continues to improve and the brand aims to grow the beer category in Mexico through leveraging new consumption occasion. Victoria continues to increase its relevance with Mexico's LDA consumers through consistent messaging center around brand's Mexican heritage, while stepping up its digital activity to generate positive attention in an authentic and efficient way. We remain excited about the Mexican business and believe we have the brands and plans in place to advance further category expansion. In Colombia, we saw a sequential improvement from a tough first quarter with revenues up by 3.1% and volumes declining by 1.4%. Our EBITDA grew by almost 20% with margin expanding by more than 700 basis points as a result of synergy captured, cost discipline and the growth of our Premium Brand portfolio. Premiumization in Colombia is one of the ways we believe we can category expansion and by establishing a high-end distribution network and rolling out our Global Brands, we're now in a better position to make the most of this opportunity. On the other hand -- on the other hand of this spectrum, through smart affordability initiatives, we believe we can increase per capita consumption in Colombia which is relatively low at 48 liters per capita, by offering consumers economical options such as returnable glass bottles and large format packaging, it can bring more people into the beer category and position ourselves for long term sustainable growth. Moving on to Latin America North. Performance in Latin America North was under pressure this quarter. Revenue was down by 1.8% and our revenue per hectoliter improved by 2.2% with revenue management initiatives, partially offset by packaging mix due to the growth of returnable glass bottles. Volumes in the region declined by 3.8%. EBITDA declined 9.5%, primarily driven by the performance in Brazil with margin contraction of 334 bps to 39.3%. In Brazil, specifically, the political and macroeconomic environments remained challenging. Our beer business outperformed the industry for the second consecutive quarter in terms of volumes with our volumes declining by 1.3% versus an industry that declined 2.7%. Our nonbeer volumes were down by 14.1% as the soft drink industry continues to be pressured by the economy, leading to the total -- leading to total volume decline of 4.6%. Our total revenues declined by 3.8%. Brazil EBITDA remained weak this quarter, declining by 15.4% with margin contraction of over 500 bps to 39.2%. The Brazilian economy is recovering at a slow pace, still representing challenging for the beer industry in the short term. We acknowledge the difficult reality, but we believe in our strategy and we remain cautiously optimistic for the year. Further, we'll now begin cycling more favorable net revenue per hectoliter comparables. For example, in the third quarter of 2016, our beer revenue per hectoliter was BRL 242. While in the second quarter of this year, it was almost -- it was almost BRL 261. So if nothing else changes, this would result in 7.6% increase year-over-year next quarter. Additionally, cost of sales per hectoliter will bridge to between a flattish and low single-digit increase, therefore, we expect to resume EBITDA growth in Brazil in the second half of 2017. With that in mind, we'll continue to put efforts in our plan, focusing on our commercial platforms in Brazil and pursuing cost savings and efficiency gains that positively impact our profitability. In terms of our commercial platforms, we continue to see growth in the premium space, especially in our Global Brands portfolio which grew by double digits this quarter. Our Budweiser campaigns featuring Brazilian basketball legend, Oscar Schmidt, received the Golden Lion in the Cannes Festival in France, supporting further growth through strong brand equity. We're also committed to elevating our full portfolio of brands, making them more aspirational through initiatives such as our new visual brand identity for Brahma, our flagship lager. Moving now to Latin America South. We had another great performance this quarter in Latin America South. Revenues grew by 35.4% as a result of pricing in line with inflation as well as growth of our Premium Brands, especially our Global Brands. Performance improved by 12.2% and new volumes in Argentina, the largest market in this region, were up by more than 20%. EBITDA grew by 30.5% with margin expansion -- margin contraction of 154 bps to 41.1% as top line growth was partially offset by the cost of sales increase as a result of adverse foreign exchange impact as expected. Turning now to EMEA. In EMEA, our revenues grew by 10% this quarter with revenue per hectoliter increasing by 5.7%, largely driven by the continued growth of our Premium Brands in Europe as well as our revenue management initiatives. Our volumes grew by 4.1% with broad-based growth across Africa. EBITDA grew by 17.1% with margin expansion of 192 bps to 29.4%. Our business in South Africa had a very strong quarter. Our beer revenues grew by 13.4% with revenue per hectoliter increasing by 2.4%, benefiting from the annualization of the July 2016 price increase and a good performance of our Premium Brands, especially, Castle Lite. Our beer volumes grew by 10.8%, helped in part by the timing of Easter. Beer's strong top line growth, combined with synergy delivery, drove total EBITDA in South Africa up by almost 30%. Our strong performance this quarter was enhanced by growth in the near beer segment with especially strong performance of Flying Fish which grew volumes by more than 100%. This segment has the potential to further expand the beer category by including female LDA consumers and by targeting locations outside those typical of beer. Moving now to the Asia Pacific region. Asia Pacific delivered revenue growth of 5.9%, driven mostly by brand mix as volumes in the region were roughly flat. This was led by the strength of Budweiser in China and our enhanced portfolio in Australia. EBITDA grew by 22.1% with margin expansion of more than 500 basis points to 36.9%, partially due to synergy captured in our new markets. In China, revenues grew by 7.2% in the second quarter, while volumes were up 1%. The top line growth was driven by continued premiumization initiatives led by Budweiser as well as of our Super Premium brands and innovations. EBITDA, in China, grew 20.9% this quarter with margin expansion of more than 400 basis points to 35.7%. We'll continue to believe that the growth potential in China lies in the core plus and above segments in which we overindex. Budweiser continues to lead the premium segment and is aiming to own the fast-growing in-home consumption occasion. We have also seen impressive results from our high-end portfolio, especially Corona and Hoegaarden which we believe still have much more potential given their low brand awareness. With that, I would like to hand it over to Felipe, who'll take you through some further detail on our second quarter results. Felipe?
Felipe Dutra: Thank you, Brito. Let's start with the synergy captured. We have continued to deliver synergies resulting from the combination with SAB. This quarter, we delivered $333 million coming from all of our new markets. We continue to expect the delivery of $2.8 million worth of recurring costs, basing synergies on a constant currency basis as of August 2016 to be realized in the next 3 to 4 years. As we have previously said, this will require estimated one-off cash costs of approximately $900 million to be incurred in the first 3 years after closing and of which $382 million has been spent to date. And of course, it does not include any top line or working capital synergies. Net finance costs in the quarter were over $1.6 billion compared to more than $700 million in the second quarter of 2016. This increase was primarily driven by an unfavorable $265 billion mark-to-market loss linked to the hedging of our share-based payment programs compared to a gain of $444 million in the first quarter last year, a swing of over $700 million. Our normalized effective tax rate for the first quarter was 21.3%, up from 20.5% in the second quarter 2016. We have amended our guidance for the full year 2017 from the range of 24% to 26% down to the range of 22% to 24% which excludes the impact of any future gain and losses related to the hedging of our share-based payment programs. Normalized earnings per share decreased to $0.95 from $1.06 in the second quarter of last year. A $0.58 increase in normalized EBIT due to the organic growth was more than offset by a $0.43 year-over-year change in the mark-to-market adjustments linked to the hedging of our share-based payment program and $0.37 change due to an increase in our finance costs. In addition, last year's results were impacted by the prefunding costs related to the SAB transaction not yet matched by earnings. These favorable impacts were partially offset by dilution due to the increased number of shares. Our capital allocation objectives have not changed. Our optimal capital structure remains a net debit-to-EBITDA ratio of around 2x. And at the end of the first half of this year, our net debt-to-EBITDA ratio was 5.3x. It is worth mentioning that our operational cash flow has historically been much stronger in the second half of the year as a result of the seasonality of our business. In addition, the second half cash flow should be enhanced by the proceeds resulting from the sale of our stake in Distell which we expect to close before the end of [indiscernible]. We're tracking in line with our internal deleveraging target. Our first priority for the use of cash will always be to invest behind our brands and to take further advantage of the organic growth opportunities in our business. Deleveraging to around 2x remains our commitment and we will prioritize debt repayment in order to meet this objective. M&A remains our core competency and we will always be ready to look at opportunities when and if they arise, subject to our strict financial discipline and deleveraging commitments. Our goal is for dividends to be a growing flow over time, consistent with the noncyclical nature of our business. However, as we have said before, given our emphasis on deleveraging, dividend growth is expected to be modest in the short term. And with that, I will hand back to Maria to begin the Q&A session. Thank you.
Operator: [Operator Instructions]. Our first question comes from the line of Simon Hales of Barclays.
Simon Hales: Two questions please, if I can. I wonder -- firstly, on the synergy capture in the period. You could talk about maybe what drove the step up in the rate of synergy capture in Q2 versus what we were seeing perhaps in Q1 and Q4? And whether or not there's any more information you can share with us in regard to the future phasing of those synergies. Is there any reason we shouldn't extrapolate that Q2 rate could capture into Q3, for instance? And then secondly, maybe for Brito, I don't know if you could just talk a little bit more about maybe the subsector performance in U.S. beer through Q2 in the first half, particularly maybe what you've been doing in craft at one end and maybe in the value segment of the other which I think, often gets lost?
Carlos Alves de Brito: Yes. Well, thanks for the question, Simon. Well, on the side, I mean, I think it is not uncommon in the transactions and -- we do in combinations that you see that there is a learning curve as you go through the process and the synergies tend to accelerate sometimes in the first quarters, because you do put more things in place. So at the end of June, we have already delivered 50% of our $2.8 billion commitment, right? So I think, we're very happy with the integration, we think things are on track. Our new colleagues have really embraced our culture and are now part of one company, one culture, one dream. So that's very encouraging. So we're very happy. And we're seeing better than that, we're seeing synergies coming from all new markets. So it's not something that's concentrated here or there, it's something that's across the board. And I think that's a testament for good planning that our teams -- joint teams did the 2 signing and closing. In terms of U.S. beer, you have a point. I mean, in terms of -- we talk a lot about the Premium Brands, Bud and Bud Light, but sometimes we don't see what's happening above the premium side which is developing very nicely. Our craft brand is growing ahead of the craft segment, brands like Stella, growing -- being the #1 brand growth in terms of European imports and Michelob Ultra has been the fastest share gainer in the U.S now for 7 quarters and having the highest market share position in terms of overall market in many years, so that's very encouraging. And on the value segment, what people tend to miss as well sometimes, is that the value segment is still a very important segment within the overall beer mix in terms of total market and also very important for us, it's 25% of our business. And it's a segment that in which profitability came up quite aways because of the decrease we did in the last 8 years and the discount in which they were sold at in terms of price point. So the price points are less of a discount to the 100% index of the market. And so this brands have a better margin because of that. And you don't need as much in terms of market support. So when you put these 2 together, the profitability is quite interesting and it's a segment in which we have a big presence. So you're right, those 2 segments are important. Our focus continues to be in the -- on the premium and above segments, but the value segment is part of our business and it's quite a value profitability.
Operator: Our next question comes from the line of Pablo Zuanic of SIG.
Pablo Zuanic: Look, just two very quick questions. I was looking at your appreciation of highball in the energy drink segment and I was wondering why such a large company like Anheuser-Busch would bother with such a small little brand when you have Red Bull and other brands out there. So the question briefly is really, if the idea is to give more volume and scale to your distributors in the U.S., are you going to start looking at more individual brands outside of beer? And why don't look at bigger brands, [indiscernible] was just sold, [indiscernible], we saw there, why bother with highball? And the second question, if you can just give us a reminder about this incentive plan for the top management team of $360 million if the company reaches $100 billion in revenues by 2020, how strict is that? Is that a policy by 2020? If you are nearby by 2021, that reward would not be there? If you can explain that.
Carlos Alves de Brito: Yes, okay. So Pablo, in terms of the highball. I mean, highball is an opportunity we saw in terms of our DGO-type approach to markets in terms of disruptive, somebody who is still small, but we believe has a high potential. It's a company that's taking a different approach on energy drinks in the sense of being natural and organic which is something that consumers are looking for. It has momentum. It's been in the market now since 2005. And we believe that our wholesale system has proven with Monster, their capacity to develop products outside of the alcohol segment. So we believe that it's not only a good place for us in terms of trying to look for an angle, a disruptive angle on a category, that's the growth category, high margins. And with the wholesale system that is very knowledgeable about these kind of products. So it's just disruptive play on a category that's established and still growing very fast with very good margins. So it's a complimentary product. And again, win this business for the long term. So the fact that we're buying small but with big potential, it doesn't scare us because we're onerous we're here for the long term and if this is going to take 5, 10 years to take scale for us, that's fine. In terms of incentives, some of our incentives have partial achievement, not -- most of them do not, but this one do. And there is a partial achievement for this one for the years 2021 and 2022. So you're right. I mean, there is a range of payouts on those incentive depending if it's 100% in 2020 or partial, 2021 and 2022.
Operator: Our next question comes from the line of Trevor Stirling of Bernstein.
Trevor Stirling: Two questions from my side, please. So the first one will be the tax rate, the lower tax rate for 2017, does that also mean that possibly there is an opportunity to lower tax rates going further? And we could see guidance fall in the outer years as well? And the second question maybe before you, Brito. Brazilian margins have clearly been under a lot of pressure. Currency hedges start to turn positive as we enter Q3 and Q4 and we would expect to see margin expansion coming through and you've highlighted the opportunity of price mix. But if I look at peak margins in Brazil in 2013, 2014, at that stage, it was based on BRL 1.2 to $1 and the level of incentives was much higher. So is it realistic to be able to get back to those peak margins? Or should we be looking slightly lower in terms of where we think we can get back to?
Carlos Alves de Brito: Well, let me tackle the second one, Felipe will tackle the first one. In terms of the Brazilian market, Trevor, as we said in our comments just few minutes ago, we had already anticipated that in previous quarters. The second half of this year will see easier comps on the cost of sales side because of the currency that we mentioned in the past. And also, we'll face easy comps in terms of net revenue per hectoliter. And we just put 2 numbers here that are public just to make the point. So I mean, if there is nothing done in the third quarter of this year in terms of pricing, just by taking the pricing that we had already in the second quarter of this year on average, in local currency, versus the price we had last year in the third quarter, that would be, if nothing changes, a 7.6% increase in net revenue per hectoliter. You know that our price policy in Brazil normally is to increase prices in the second half of the year. Normally, in the third quarter. Last year, by exception, we did in the fourth quarter. But this year, I can tell you and it's already in the market, that we're going to do our price increase in the third quarter this year in Brazil. So that's why we said that the EBITDA will resume growth in the second half because of the 2 components, top line and cost. And in terms of margins, the only thing I can tell you is this, the margins we used to have of 15-, 16-plus in the Brazil business. These margins are, for us, in our culture, high watermarks. So we won't forget them. And this continues to be a reference for our people operating Brazil. That I can tell you. Felipe?
Felipe Dutra: Trevor, on the effective tax rate, yes, we're updating the guidance at this point. It is valid for 2017. It is just too early to talk about 2018 at this point.
Operator: Our next question comes from the line of [indiscernible] of Redburn.
Unidentified Analyst: Two questions, if I may. The first one, in the U.S., you have a very good EBITDA expansion -- margin expansion of 168 basis points and over 100 basis points seems to be from savings in SG&A. Can you maybe break that down? What bucket that fits in? Is this in app main or marketing and what drove it up? And then secondly, in South Africa, you've relaunched your Lion Lager in what appears to be about a 20% discount to mainstream. As you currently own 100% of the mainstream segment, how are you ensuring that Lion does not cannibalize from Castle and Hansen in that market? And how should we think of the Lion margins relative to mainstream in South Africa?
Carlos Alves de Brito: You know, it's a very good point. I'm going to start with the Lion brand. So in South Africa, there are some cheap spirits that we have to deal with in terms of category and Lion is exactly -- it is supposed to do that. It was designed to do that. What we're trying to do, of course, is trying to get Lion in the blocks, where it should be. Where the prevalence of those cheap liquors are more the case. And package-wise, we're also trying to signal that, that is a value brand as opposed -- to try to avoid cannibalization which is possible. So we're doing that in a very controlled fashion. But the objective is not, of course, to cannibalize our own brands, but to really expand via affordability the category play. It's being done, I can guarantee you, in a very controlled fashion. It's not something that's across the board. And our guys, for all their reasons have said, "I'd be very careful in where to implement this brand." Okay? No rush in implementing. In terms of U.S. margin, we're very happy with the financial performance we had last year, financial performance we have this year, so far. We're not happy with the share. That's a different story. But the financial performance has been driven solely by having on net revenue per hectoliter have grown. If you look at the first half of this year, our net revenue per hectoliter grew by 1.5% which is pretty much in line with what we want to do with pricing in general which is to have it in line with inflation when you look at a broader period. And in terms of SG&A, we'll continue to operate SG&A as efficiently as we can. You can be assured that we're looking at nonworking dollars-type opportunity. When you look at the U.S. base of SG&A, it's big enough to afford as to be able to look for that. But getting towards, the thing to notice is that our gross margin, now for 7 or 8 years, once again grew. And if you look at the quarter, it grew 45 bps to 62.2%. It, for me, tells me that the whole premiumization and the whole focus that we have on the premium and above premium it continues to be paying off, because we've had years and years of gross margin expansion. And last year and this year, EBITDA expansion as well.
Unidentified Analyst: Just a follow-up on that gross margin, because historically, that has -- does not seem to drop down that benefit of the last 7 years, because all the expenditure you've had in marketing. Can we just then say that, actually that amount of marketing you spend to support your brands, are we down to expect that the increase as a result, they actually take -- you basically let some of it to drop down to the bottom line at the moment?
Carlos Alves de Brito: No. What you can expect is that, because we increased the base of SG&A in the last 2 years, because of this focus on the high-end, that now we have a base that's big enough to afford us to start optimizing. And when you have a big base optimization, it is always a big opportunity. So that's what we're doing. Thank you.
Operator: Our next question comes from the line of Robert Ottenstein of Evercore ISI.
Robert Ottenstein: I was wondering, Brito, if you could -- I know its early days, but obviously, you know, the global brands are doing well in a lot of the SAB territories. Can you talk about what you've learned so far about how well, Bud, Stella, Corona resonate in those different territories? Maybe a little bit about your strategy with those brands? And any surprises that you've seen in the marketplace, good or bad, in terms of how those have worked commercially?
Carlos Alves de Brito: Robert, thanks for the question, because Global Brands is one of those things that's a no-brainer. Obviously so far, all markets in which we have implemented those brands, they've done well. They have appealed -- that's universal appeal. Each of them have their own position -- has its own position. So they compliment each other. They don't -- they're sitting on top of each other. And their values are pretty much universal values. So they appeal to a wide range of consumers. And we've seen these brands performing really well in our new territories. The other thing for you to think about, Robert, is that when you look go to Africa -- even in Africa, when you go to, for example -- I'll give you 2 examples, South Africa and Nigeria. Premium segments are present in those markets. It's just that the SAB colleagues of ours didn't have ways to contain those segments. But if you look at Heineken and Diageo, they had healthy businesses in the premium segment in those 2 markets, for example. So now we're coming with our brands in a market that already exists. Just trying to get our fair share and in large that side of the market. So when our global brands go to these new markets, it's not that they are -- they had to initiate a category, they're there, finally, to compete in a category that others have already introduced in the market. But now we have brands that we believe, given the portfolio play that we have, that can do better than some of those other brands because there is -- some of these companies are one branded and we have a portfolio of brands for different locations. So that's the bet we have. We have now to deliver, but the initial signs are very positive.
Robert Ottenstein: And as a follow-up to that, it appears that your strategy in China is evolving a little bit. Can you talk a little bit about that? And how you're kind of looking to continue to have a commanding lead and spread, that lead at the very high end, using the Global Brands?
Carlos Alves de Brito: Well, in China, Robert, we're the leaders in everything that's Premium and Super Premium. And because of that, we need to continue to elevate the bar -- to raise the bar. So let me give you a couple of examples. Budweiser, a leading brand in the Premium segment. At some point, our guys in China said, 3 or 4 years ago, "Well, at some point there will be a Super Premium segment and we need to lead that as well." So we separated the road-to-market, we did everything that we had to do in order to create the infrastructure. We get the brands and now you look at Stella, Corona and Hoegaarden -- early Corona and Hoegaarden in China. They're growing at triple digits and -- with very high margins. Then you look at e-commerce. We lead the e-commerce in China. Which is in China, for beer, presents a very high-end type occasion. Then you look at Budweiser. We tried to get Budweiser to be less dependent on 2 regions. So we're broadening, expanding Budweiser to other regions. And that has been the case for many years and also, also through different channels. Chinese consumers are evolving and the nightlife is getting more segmented. That's why Budweiser has a very strong hold and we're, together with the Super Premium company in China, growing through western bars and different white table-cloth restaurants, Chinese restaurants and tried to get more of a balanced base for Premium and Super Premium brands in China as opposed to depending on only one channel in 2 regions. So that's what we're trying to do to continue to be the leader in reference in the Chinese market for Premium, Super Premium beer brands.
Operator: Our next question comes from the line of Edward Mundy of Jefferies.
Edward Mundy: Just on Page 3, your management comments, you made the point that the second half of the year looks promising. Is that from a revenue perspective or from across the States here? What excites most about the second half? Is it the top line or margins?
Carlos Alves de Brito: I mean -- well, we said second half looks promising in terms of Brazil because of the top line in cost. We also said that in Mexico, we had a second quarter that was a little bit of a one-off. That the first half of the year was more what you should expect of the Mexican performance. But we feel good about our business, Edward, because when you look at Brazil, I just mentioned, when you look at LAS, Latin America South, is accelerating. Mexico had a one-off this quarter -- in the second quarter in terms of financials. It should be better going forward. COPEC, when you look at Colombia, if you look at the third quarter -- all public numbers. Third quarter last year, you'll see that Colombia came from the El Nino-type 15 months spread that was very good for volumes. So we're lacking that. But if you look at the third quarter, when they are on -- last year, when the El Nino affect finished, there was some negative volumes in Colombia, that we're now going to be lapping in the third quarter. Europe has a third year in which top line is growing. China continues to grow share. And now we have, after 3 years, industry in China back to positive territory -- slightly positive territory year-to-date. Australia, 2 quarters now growing ahead of industry. And Africa, we're going to have some capacity that is going to come online in the second half of this year because in some places we have capacity constraints and we have momentum. So when I look at this and then I -- I think, we're optimistic about the second half I can say.
Edward Mundy: And just as a follow-up. I appreciate you're not changing your cost synergy targets at this stage. But I think, Felipe, you alluded to in your presentation, working capital synergies. Are you able to talk a little bit more around those at this stage?
Felipe Dutra: So the way we describe co-working capital defined as receivables, inventories and payables that are really connected to the business and excluding things such as payroll and commodities mark-to-market adjustments. ABI reached around 15%, in the negative territory, by the end of last year. SAB is coming from low single digits in the negative territory. So the gap is there. And our, 15% is average. We have zones that are doing much better than that, zones that are below that average. And we're always raising the bar. So when we compare the 2 footprints, there is no reason why -- the former SAB footprint could not get to current ABI levels on average and that is the journey that we started as we started the integration. Working capital should continue to be a very strong component of the overall cash flow generation and we're working on it. Things are progressing well. We just didn't put a public number out there, not for working capital, not driving the synergies adjusting the cost-related ones.
Operator: Our next question comes from the line of Mitch Collett of Goldman Sachs.
Mitchell Collett: Just returning to your comment about promising. I guess, you're formal guidance is that revenue growth should accelerate. And the comps are not as tougher for the first half. And is there any reason we shouldn't expect your second half performance in terms of top line growth to accelerate from the 2Q or 1H performance? And then --
Carlos Alves de Brito: Mitch, can you talk a bit louder or closer to the mic? It's kind of hard to understand. If you could repeat the questions?
Mitchell Collett: Yes, sorry. Is that better?
Carlos Alves de Brito: Yes, much better.
Mitchell Collett: Sorry. So I just wanted to come back to your comment about the second half looking promising. And obviously, you've seen a sequential acceleration in 2Q versus 1Q. The comps are much easier in the second half. Is there any reason we shouldn't expect 3Q and 4Q to continue to accelerate from the 2Q performance? And then, secondly, I think, you said that cost of sales should be flat or up low single digits in Brazil given the FX benefit. I guess, the hedges, I would've thought would have been meant cost of sales would be down year-over-year, but I appreciate not all of your cost of sales are hedged. Is that partly why it would be flat or smaller? Or is that potentially the impact of an increased exposure to returnable glass bottles?
Carlos Alves de Brito: Well, there are -- Mitch, on Brazil, on cost of sales there maybe have an impact. As Premium Brands grow for example, cost of sales go up, because those Premium Brands are normally more expensive packaging. They have better margins, of course. We have normally one-way bottles or nonreturnable bottles there. Pretty much all one-way bottles and cans. So I mean, there are other things that take into account. That's why we said, flattish to slightly up which is much better than we had in the first half. What I said about the second half is pretty much what's in the release, is that for Brazil, we guided for a better revenue per hectoliter, right, because of the comps and that's because better cost of sales. For glass, I'm saying -- glass is also accelerated. So from the first and second quarters. So that is in good place. For Mexico, in terms of financials, we said that the second quarter, because of some phasings and one-offs, it's not necessarily the best representation for margins and EBITDA growth for Mexico. The first half would be better. For COPEC, I said that there would be a third quarter -- make sure you look at the numbers and whether that was exceptional. Well, 2 years later, you see that the July, August, September, third quarter, it should be some easier comps on volumes in Colombia which is a top 5 market for us. In Europe, there is good momentum. In Africa, there is good momentum with some capacity coming online which is already public. In China, the industry is back to slightly positive and we have also momentum. In Australia, for 2 quarters now, we've been growing ahead of industry. So I'm just saying that other than the U.S., in terms of share in the U.S., the other markets -- main markets, seem to have some good things going for them. Never perfect, but all net, net-net, some good things going for them.
Operator: Our next question comes from the line of Mark Swartzberg of Stifel, Nicolaus.
Mark Swartzberg: One for you, Brito, one for you, Felipe. In the U.S., Brito, there seems to be some silver linings here with all the challenges that are obviously facing your largest brands and you've touched on them. But I'm curious if you could elaborate, when you think about the craft space specifically, whether it's you or others in the brewing space, private equity, whether you think there is an opportunity for a quickening in the pace of M&A in craft? And then, Felipe, as we think about currency hedging. You're dealing with a much larger basket of currencies than you were prior to the SAB transaction, so I'm sure we could go at length in what's different in the way you're approaching currency. But is there something you can tell us in brief that would help us get comfortable that you're actually able to minimize volatility, even more than you have historically and minimize the top, so to speak, so -- you can't, obviously, eliminate what happened in Brazil. But something to give us some sense about how you're managing that risk on a go-forward basis?
Carlos Alves de Brito: Mark, in terms of craft and then -- we're growing. Our Craft Portfolio is running ahead of the craft industry. So very happy with that. When we look for craft or potential craft partners, we look much more at the founder, the personality, the culture, the fit because what we've seen is that with our partners today or to date, we've been able to create a very strong sense of team. They work together. We're able to call a craft panel. And they exchange ideas, best practices, development of new styles. So -- and they're very connected to the business and very committed to growing the business the right way. So we pick our partners because of the fit, because of their vison, on the capacity to dream big, the cultural fit as well and their love for their business and the willingness to stay with us to continue to develop brands. So that's our main criteria and we're very happy with the craft partners we have today.
Mark Swartzberg: And do you believe the 11, assuming we could -- we'd close or the passage closed. Do you think the 11 is about right? And do you think there is an opportunity? Do you see that the 11 validating, so to speak, the approach where you have a given craft brewer serving a particular region?
Carlos Alves de Brito: Yes, I wouldn't expect so late at this point, but all I can say is that our guys did an amazing job of finding these founders, connecting with them and creating with camaraderie and this partnership and this panel and this exchange of ideas and best practices. It's really been magic for us.
Felipe Dutra: So, Mark, on the hedge increase. There has been no material change to our hedging approach. What essentially happened, given the large footprint is that now we benefit from a larger risk diversification. As our approach to hedging has always being the one-off, understanding the basket of risks we're running, not only from the FX, but also the commodity standpoint and often relying on the cross-correlation of different exposures and assets that we may have. The biggest bucket is always the one on the outstanding debt breakdown and we have been very clear in the sense that 1/3 of our outstanding debt is 0 denominated and recently, given the euro appreciation versus dollars, that is growing in weight on the overall net debt. But on the other hand, given the correlation between euro and other emerging market currencies, we also benefit from the translation of local results -- local EBITDA into U.S. dollars. In summary, that has been the approach. The approach has not changed. Just a better risk diversification at this point.
Operator: Our next question comes from the line of Komal Dhillon of JPMorgan.
Komal Dhillon: Brito and Felipe, just two questions from me, please. First one on the U.S. You've -- obviously, we've got volume share loss of 105 bps in the quarter. And I know you have a tougher comp in Q2. But can you outline the plan to stem this loss? And then, how should we be thinking about the volume share situation going forward? And then the second one. Really -- we had news this week that the Head of Carlton & United Breweries in Australia saying you are interested in the privatization of the breweries in Vietnam. Anymore comments on that, please?
Carlos Alves de Brito: Well, Vietnam is a market that we're very committed to. I mean, we like the profile of the market. It's a growth market. It's a scale market. But we cannot comment on market rumors. But it's a market that -- we have our Global Brands there, that we're very excited about growing in that market. And China is a great inspiration for us on how to grow those brands in Vietnam. That's all I could say about Vietnam. In terms of your first question, in terms of share, what we're doing, Komal, is really trying to first understand a little bit of that comp, but also trying to continue to get to better position in terms of supporting Bud Light and that's important. So Bud Light, there'll be some new campaign executions hitting the market pretty soon. We also have the Dive Bar Tour that dominated the whole social scene and chatter in the month of June and pretty much, also very strong in May. The same with Budweiser, with the America campaign and Folds of Honor. So these two brands are doing well in social media. They have campaigns that have managed, especially, Budweiser. Budweiser has a new campaign with friends -- with friends platform. We continue to put a lot of focus on the execution in the marketplace. Those things have not translated yet in better market share sales, but we'll continue to be very focused on those. In terms of our Bud Premium, again, you've heard me talking about Michelob Ultra. 9 consecutive quarters of being the biggest share gainer. We'll continue to put a lot of effort and money behind it. And it has -- it's best quarterly share gain in the past 5 years. Craft doing well, ahead of the segment, value stabilizing, important for us given that the margin -- given the lower investment has also an interesting financial component to it. And so I think that's what we'll continue to do. Bud Light is the focus because the rest of the portfolio has been well.
Operator: Our next question comes from the line of Eddy Hargreaves of Investec.
Edward Hargreaves: I think you said, Brito, just about China had returned to growth, I'm assuming in volume terms with that comment. Clearly, it's all about profit there. Your margins were up 500 bps at the EBITDA level in the half year. Could you say how much of that is the mix and how much is cost-savings? You mentioned both factors in that paragraph. I assume is mainly mix. So that's question one. And then the second one is that, you committed to ensuring that 20% of your beer volume globally will be no and low alcohol product by the end of 2025. Can you say what -- what level you are at the moment, in looking at how demanding that 20% target is?
Carlos Alves de Brito: Yes. Eddy, so I'll start with the second question. We're very committed to the non-alcohol and low-alcohol beers, because we think not only there are consumer trends out there, but it's also very profitable. So we put a target to ourselves of getting to 20% of our mix in terms of volume. Today, we're at 7% and -- we're 7%-plus to be precise. And what happened is that, with the SAB new markets, we evolved a lot in terms of learnings. If you go to markets like Australia, Colombia, Ecuador or in China market, we're already above and beyond that 20% in terms of, especially, the low-alcohol beers. Below 3.5%. So the reasons to believe for other markets of ours and they're not a best practice we have now, especially in the low alcohol beer to increase big-time compared to 1 year ago. And now, we're trying to get those best practice from Australia, Colombia, Ecuador and China to travel faster because there is an opportunity there, in especially the low alcohol beer. So that's on the NABLAB, as we call it. Your first question was on APAC, on China. On China, as you will remember for sure, brand mix has always been a very important component of our profitability growth in China. Why? Because Budweiser is growing, together with the high-end segments, way ahead of the average of our portfolio. So just to give you a number -- let me get to the number here. In terms of the Chinese beer market -- if I can find the page here. I don't have the page here. But what I wanted to say is that, in terms of the Core plus Premium and Super Premium segment, we're way above or -- I found the page. So for example, the industry in China has 57% of its volume -- 57.5% of its volume in the half year this year, in the Core value segment. We only have 36% -- 36.9%. So I mean, our business is much more skewed towards Core plus Premium and Super Premium. And the momentum is there and we continue to grow disproportionately on those segments where the money is and the growth is. So a lot of this margin enhancement in China is caused by this mix shift, but there is also, because China now has a big country base, also lots of initiatives on efficiencies as we always do. But as the base grows bigger, than those initiatives are more relevant. But most of it comes from premiumization earnings.
Edward Hargreaves: Sorry. Was that number 57% or 67% there?
Carlos Alves de Brito: Yes, 57% for the half year this year is what the industry has in terms of volume on the segment core and value. Ours is 36.9%, so 37%. So 57% for the market in core and value. We have 37%.
Edward Hargreaves: Yes, understood. And I think it's for the Chinese beer market volume overall in the period?
Carlos Alves de Brito: Volume overall for the half year increased by 0.2% in our estimates. So after 3 years of being negative, this half year, year-to-date, plus 0.2% growth for the total industry in China. Of course, the segments in which we operate, that are growing way ahead of that. But that's the total industry.
Operator: Ladies and gentleman, we have time for one more question. Our final question today comes from the line of Fernando Ferreira of BAML.
Fernando Ferreira: Brito, two questions, please. When you look at your sales today globally, what percentage of those sales are Premium and the Super Premium brands? And where do you see that going in the next 5 or 7 years? Like do you have any target, like non and low alcohol? And then second question, on Brazil. I understand the affect on your revenue per hectoliter driven by the RGBs and the easy comparisons, as you mentioned. But can you talk about the pricing environment ahead, now that the competition appears to be a bit more rational and also you have recovered a lot of your market share that you had lost last year?
Carlos Alves de Brito: Well, Fernando, I'll start with the second question. The environment in Brazil has always been very competitive. Price is very local. As we said, our guys in Brazil signaled to us that they will implement the price in the third quarter of this year as compared to the fourth quarter last year. So that's all I can say about price in Brazil which is a very competitive market. In terms of our Global Brands, I think, the figure we have out there is that our Global Brands, in terms of our total portfolio, is ahead of 20% -- north of 20%. That doesn't include all Premium Brands of ours, but just the Global Brands. More than that, of course, in terms of revenue and margins. But in terms of volume, it's 20-plus percent, our Global Brands. We have some targets of our own, but they're not public.
Carlos Alves de Brito: Well, if there are no further questions, I'd like to thank you, Maria. Thank you, everybody. So in summary, our performance at the half year mark of 2017 is promising. While we're not satisfied with our market share performance in the U.S. nor our financials in Brazil, we have delivered strong top line results in almost every other market and are pleased to see the company's growth accelerating. Our integration continues to progress very well, with excellent synergy captured to date. We remain excited about the long term prospects of our global business and the opportunity to expand and develop the beer category. Thanks for joining the call today and enjoy the rest of your day. Thank you so much. Bye.
Operator: Thank you and this does conclude today's teleconference and webcast. Please disconnect your line at this time and have a wonderful day.